Operator: Good afternoon and welcome to Snap One Holdings Corp.'s Fiscal Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. I would now like to turn the call over to Snap One Senior Vice President of Finance, Eric Steele. Sir, please proceed.
Eric Steele: Thank you, operator. Good afternoon and welcome to Snap One's fiscal fourth quarter and full year 2021 earnings conference call. As a reminder, this call is being recorded. Joining us today from Snap One are John Heyman, our CEO; and Mike Carlet, our CFO. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions, including but not limited to, statements of expectations, future events or future financial performance. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Actual events or results could differ materially. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of our registration statement on Form S-1 filed with the SEC. All non-GAAP financial measures referenced in today's call are reconciled in our earnings press release to the most directly comparable GAAP measure. This call also contains time-sensitive information that is accurate only as of the date of this broadcast, March 22, 2022. Finally, I would like to remind everyone that this conference call is being webcast and a recording will be made available for replay on our Investor Relations website at investors.snapone.com. In addition to the webcast, we have also posted a supplemental earnings presentation accompanying these results which can also be found on our Investor Relations website. With that, I will now turn the call over to our CEO, John Heyman. John?
John Heyman: Thanks, Eric and welcome, everyone and thanks for joining us this afternoon. I'm going to start off today with a review of our recent updates and highlights and then I'll turn the call over to Mike Carlet, our CFO, to discuss our financial results for the quarter and the year as well as provide a 2022 outlook. And after that, we'll share some closing remarks before opening the call up for questions. As a brief reminder for everyone listening, here at Snap One, we provide a smart living platform that empowers professional integrators to deliver joy, connectivity and security to end consumers on a global scale. As a leading distributor to these integrators, we work with a growing network of over 16,000 professionals that are do-it-for-me integrators who distribute our proprietary and third-party products using our e-commerce portal and our brick-and-mortar facilities. We further support our integration partners with our proprietary software platforms and digital workflow solutions to allow them to successfully serve their residential and commercial customers across the project life cycle. The smart living opportunity is large and it's untapped. We believe that we're strategically positioned to power the smart living revolution through our entrenched and growing network of integrators. As demand for smart living solutions continues to rise, we anticipate an increasing number of end consumers will rely on these professionals to get the job done. In turn, these local professional integrators need a scaled platform like Snap One to successfully deliver on the promise of smart living. Here at Snap One, we're positioning our integrators and our company to capitalize on the tremendous growth opportunity in front of us. We aim to help our integrators enhance their capacity to meet the durable demand for smart living solutions and to grow profitable businesses. We do this through investing in two platforms: one, our business platform to make life easier for small businesses we serve; and two, through our product platform that supports easier installations, higher profits, reliability and end consumer satisfaction. From a business platform perspective, we are focusing on convenience and we're focusing on workflow solutions which are critical for these partners who lack their own infrastructure. From a convenience perspective, we're methodically rolling out new local branch openings to expand our nationwide physical footprint while simultaneously investing to enhance the digital experience on our e-commerce portal. We want to provide our integrators with the flexibility and convenience to engage with us in the way that best meets their needs. We're also investing in workflow solutions. We're exploring new ways to support our integrators with business infrastructure and workflow tools to increase efficiency from a robust education and training curriculum to award-winning support, to new value-added service offerings like Parasol. We have our integrators' backs. Regarding our product and software platforms, we continue to make big investments. From a product standpoint, we're continuing to develop innovative new products with installation efficiency and integrator profitability top of mind. The industry will see an amazing amount of new innovation coming from Snap One over the next few years. We're also expanding our curated portfolio of third-party products to provide integrators with the convenience of a one-stop shop for their purchasing needs, saving them valuable time and money. We're also making significant investments in our leading software platforms, OvrC and Control4's OS 3 to deliver new capabilities and integrator workflow efficiencies, making it easier than ever to configure, install and support integrated systems. And we also continue to explore new ways to deliver and monetize value-added software services to integrators and end users. This integrated product portfolio will be key in transforming an industry that has relied on integrating disparate products together to one that implements integrated solutions that create seamless experiences. We believe that no one is investing in the platforms that will drive the future success of this industry like Snap One. Let me take a few minutes and reflect on the past year. 2021 was a banner year for Snap One. We became a $1 billion company, generating just over $1 billion in net sales, an increase of 24% from the prior year on an as-reported basis. Our attractive business model delivered record profitability with adjusted EBITDA of $111 million, an increase of 17% from the prior year on an as-reported basis. Finally, we successfully executed across a range of strategic initiatives while navigating a challenging supply chain backdrop to deliver for our integrator customers who depend on us each day. I'll highlight a couple of those achievements now. First, we rebranded the company as Snap One to reflect our aspiration to be the one partner that professional integrators need for every job, one company, one business platform, one product platform. We continue to execute on this one company vision with the recent launch of our all-new Partners Reward [ph] program which unifies the Snap One partner experience under a single loyalty program as another proof point on our journey. The name Snap One encompasses all we are today and our intent to continue leading the industry in the future. Second, we achieved a successful public listing in July. More than a year's worth of hard work and preparation went into making this reality possible and we're grateful for the efforts of our employees, investors, partners and other key stakeholders in supporting this key milestone. Entering the public markets has provided our company an expanded opportunity to invest in the success of our integrator partners and to grow our business. Since our IPO, we have worked diligently to execute against our growth strategy, establish a track record of delivering strong financial performance, build our presence within the investor community and fortify our team with the human capital to further our mission. Our IPO has also enabled us to strategically deploy our balance sheet to ensure the best possible inventory availability throughout the year, reinforcing the one partner that our professional integrators need to be successful. In terms of our growth synergy in the future, operationally, our success in 2021 reflects strong execution against our proven growth playbook that we've laid out to drive sustainable long-term growth. Our growth strategy is rooted, as a reminder, in five key pillars: one, increase our wallet share with existing integrators; two, expand our global integrator network; three, innovate with new products, software and technology-enabled workflow solutions; four, develop new software services and revenue models; and finally, fifth, executing against strategic M&A. I'll speak about each of these briefly. One, in terms of increasing our wallet share with existing integrators which includes continuing to execute our omnichannel strategy, in 2021, we continued to build out our physical footprint with the opening of eight new local branches in key domestic markets, bringing our year-end footprint to 31 local branches nationwide. Our local branch expansion strengthens existing integrator relationships, it adds incremental purchase occasions and it expands our integrator network. We intend to continue building our geographic reach in 2022. Two, we're expanding our global integrator network with professionals focused on residential, security and commercial applications around the globe. In 2021, we experienced year-over-year growth in the number of transacting integrators across the home tech, security and commercial markets. Additionally, we sharpened our focus on our international growth strategy, including our acquisition of Staub Electronics this past January and have resourced continued investments to develop targeted international markets in our 2022 plan. Adding new integrators into the Snap One ecosystem will remain an important growth driver for our business in '22 and beyond. Three, innovation with new products, software and tech-enabled workflow solutions. In 2021, we made significant upgrades to both our first- and third-party product and service portfolios and the industry took notice. Our leading products and services were recognized a record setting 36 times as the number one or two brand across 62 identified product subcategories in the 2021 CE Pro 100 Brand Analysis Awards. Over the past year, we've also thoughtfully expanded our third-party product suite as well. In 2021, we added several new third-party vendors to our e-commerce portal, including Ring; Pro Control; Sound United, including the Denon and Marantz brands; and Roku. In the fourth quarter, we extended our partnership with Josh.ai for the strategic development of a first-of-its-kind Control4 certified driver for voice control, a more private voice control alternative to big tech. Overall, our product and service capabilities are now more robust than ever, further positioning us as the partner and distributor of choice for our integrators. We remain committed to driving innovation through our continued investments in new product development and are looking forward to the many new product releases we have coming to market. Four, we intend to develop new software services and revenue models. In 2021, we announced a strategic investment in Parasol, an industry-leading provider of 24/7 remote support solutions that improve integrator productivity and service levels. This service is enabled by our proprietary OvrC remote management software platform. This builds on our existing 4Sight offering which enables end consumers to remotely access and personalize their Control4 system. Today, we have over 100,000 subscribers in our network, paying us on a recurring basis and contributing about 1% to our consolidated company net sales. Given Control4 is in approximately 435,000 active homes today and growing, we believe we have a meaningful opportunity to increase subscription penetration within our installed base. As smart living solutions become more software-centric, we are positioning Snap One and our integrators to lead the way with innovative offerings and revenue models. We continue to invest heavily in our two software platforms to deliver value to both integrators and end consumers. Stay tuned for further updates and on exciting announcements in the quarters ahead. And finally, fifth, we'll continue to execute strategic M&A. In 2021, we continued to flex our strategic M&A muscles. From a product perspective, we acquired Access Networks, an enterprise-grade networking solutions provider that offers networking products, design, configuration, monitoring and support services. The network is the digital backbone of smart living and this acquisition enhanced Snap One's networking solutions for residential and commercial applications. Additionally, we've continued to develop our local branch presence through a combination of organic openings and targeted M&A. More recently, we announced the acquisition of Canadian distributor Staub Electronics in January. This acquisition brings together two long-time business partners to provide more product choice, faster product fulfillment and superior support for professional integrators across Canada. We're excited to expand our local branch presence internationally with Staub's two locations, bringing our total branch count to 33 locations as of January. We expect to continue to pursue disciplined, accretive acquisitions that enhance our products, software and workflow solutions and expand into adjacent markets and geographies that allow us to best serve our integrator base. As we look ahead to '22 and beyond, continued execution against these five growth pillars will remain foundational to our success. I'm going to touch on the outlook for 2022 before turning over to Mike, who will provide more detailed guidance. Demand for our products and services remains very high. And we entered 2022 with the wind at our backs. Despite the supply chain uncertainty, we have strong conviction in both the short- and long-term growth outlook for our business. Due to continued healthy trends in smart living adoption and durable residential and commercial uptake, our integrators remain extremely busy and many are booked out months in advance. In light of these factors, we're confident in our ability to continue to deliver strong growth and expect to deliver up to $1.17 billion in net sales and $120 million in adjusted EBITDA, at the high end of our 2022 guidance range. Mike will provide more detail and rationale on our guidance. As we move into the first full fiscal year of being a public company, we are poised to build on the continued current momentum for the foreseeable future. With that, I'll turn the call over to Mike Carlet, our CFO, to discuss '21's financial results and '22's outlook in greater detail. Mike?
Michael Carlet: Thanks, John. Turning now to our financial results for the fiscal fourth quarter and full year ended December 31, 2021. Net sales in the fiscal fourth quarter of 2021 increased 21% to $273.5 million, up from $226.1 million in the comparable year-ago period. We had a 14th week in fiscal fourth quarter 2021 which added approximately $18 million in net sales. Excluding that 14th week, net sales increased approximately 13%. For the full year ended December 31, 2021, net sales increased 24% to $1.008 billion, up from $814.1 million in the comparable year-ago period. Again, we had a 53rd week in the fiscal year this year and, excluding that week, net sales would have increased approximately 22%. The growth in net sales during the quarter and year was driven by strong overall demand across geographies, markets and product categories, with year-over-year increases in transacting integrators and spend per integrator. Growth was also driven by the benefit of recently acquired Access Networks and the cumulative ramp of eight new local branches opened since the end of the prior fiscal year, including one new local branch opened in the most recent quarter, bringing total local branch count to 31 as of year-end. Additionally, we benefited from two price increases enacted across our proprietary product portfolio in Q1 and Q3. While supply chain challenges represented a mid-single-digits headwind in the quarter and low single digits headwind for the year, we took proactive measures to mitigate that headwind and deliver for our integrators. Contribution margin, a non-GAAP measurement of operating performance, increased 13% to $105.9 million or 38.7% of net sales in the fiscal fourth quarter, up from $94.1 million or 41.6% of net sales in the comparable year-ago period. For the full year 2021, contribution margin increased 20% to $408.1 million or 40.5% of net sales, up from $339.3 million or 41.7% of net sales in the comparable year-ago period. The increases in contribution margin were primarily due to net sales growth. The decreases in contribution margin as a percentage of net sales were primarily due to mix, as the growth in our third-party product sales is outpacing this growth that we're seeing in our proprietary product sales. The higher growth in third-party product sales is due in part to the expansion of our local branch footprint which skews towards more third-party product than we see on our e-commerce platform. As a reminder, third-party product typically has a lower contribution margin as a percentage of net sales relative to proprietary products. The strategic expansion of our local branch footprint and curated third-party product portfolio remains an important part of our value proposition. We seek to provide our integrators with a one-stop shop for their product needs while enhancing integrator loyalty and capturing incremental contribution margin dollars. Contribution margin as a percentage of net sales also declined relative to the prior year due to the increased componentry and logistics costs related to broader industry-wide supply chain challenges. Specifically, we leveraged the strategic use of air freight to meet integrator demand across key product categories. These contribution margin rate pressures were partially offset by the pricing actions enacted over the course of the year. Selling, general and administrative expenses in fiscal fourth quarter 2021 increased 25% to $91.2 million or 33.4% of net sales from $72.8 million or 32.2% of net sales in the comparable year-ago period. For the full year ended December 31, 2021, SG&A expense increased 31% to $350.3 million or 34.7% of net sales, up from $267.2 million or 32.8% of net sales in the comparable year-ago period. The increases in our SG&A expenses during the quarter and year were primarily due to our IPO, the recognition of equity-based compensation expenses, compensation costs paid to certain IP owners for the interest in lieu of their participation in the tax receivable agreement entered into in connection with the IPO. The remaining increases in SG&A expenses were due to increases in our variable expenses, including outbound shipping, credit card processing fees and warranty, driven by the higher sales volume; increased costs associated with becoming and operating as a public company; ongoing investments to support strategic growth initiatives; the acquired cost of Access Networks; and finally, a return to normalized spending levels while lapping cost reduction actions taken to mitigate the impacts of COVID-19 in 2020. After adjusting for add-backs, we realized modest operating expense leverage as a percentage of net sales for the year. Over the long term, we continue to expect to realize operating expense leverage as the business scales and we realize the efficiencies of a unified operating platform. Our net loss totaled $7.8 million in the fourth quarter compared to a net loss of $4.4 million in the comparable year-ago period. For the full year 2021, net loss totaled $36.5 million compared to a net loss of $25.2 million for the full year 2020. The increase in net loss was primarily due to the increases in SG&A expenses, as previously discussed. Adjusted EBITDA which is a non-GAAP measurement of operating performance, increased 1% to $26 million or 9.5% of net sales in the fourth quarter 2020 compared to $25.6 million or 11.3% of net sales in the comparable year-ago period. For the full year ended December 31, 2021, adjusted EBITDA increased 17% to $110.8 million or 11% of net sales, up from $94.5 million or 11.6% of net sales in the full year 2020. The adjusted EBITDA growth in the quarter and fiscal year was primarily attributable to the net sales increase and contribution margin growth, offset by the increases in SG&A expenses. The decreases in adjusted EBITDA as a percentage of net sales in the quarter and fiscal year are primarily attributable to contribution margin as a percentage of net sales declining year-over-year, offset by modest leverage on SG&A adjusted for add-backs as a percentage of net sales. Adjusted net income, another non-GAAP measurement of operating performance, increased 63% to $13.9 million or 5.1% of net sales from $8.5 million or 3.8% of net sales in the comparable year-ago period. For the full year ended December 31, 2021, adjusted net income increased 89% to $53.6 million or 5.3% of net sales from $28.3 million or 3.5% of net sales in the comparable year-ago period. These increases were primarily attributable to net sales and contribution margin growth, offset by increases in SG&A expenses. Free cash flow, a non-GAAP measurement of operating performance, was negative $40.4 million in the 12 months ended December 31, 2021, compared to $54 million of growth in the comparable year-ago period. The decrease in free cash flow was primarily attributable to an increase in net cash used in operating activities. And this increase in net cash used in operating activities was driven by the strategic use of our balance sheet to protect against supply chain uncertainty, resulting in use of net working capital, including increases in inventory and prepaid vendor deposits. At the end of the fiscal fourth quarter and full year 2021, cash and cash equivalents were $40.6 million compared to $77.5 million as of December 25, 2020, or prior year-end. Now, I want to touch on our debt refinancing. Of note, in December, we completed a refinancing of our debt, securing more favorable terms for our pay-down plan and strengthening our balance sheet. The new credit agreement provides for senior secured financing of $565 million in the aggregate, consisting of $465 million in aggregate principal of senior secured loans maturing in seven years and a $100 million senior secured revolving credit facility maturing in five years. Now before I turn the call back over to John, I'll take just a few minutes to provide our financial outlook for the remainder of the year. As a reminder, Snap One provides annual guidance for net sales as well as adjusted EBITDA as we believe these metrics to be the key indicators for the overall performance of our business. As we look at fiscal 2022, we continue to see strong demand for smart living solutions. We expect our net sales to range between $1.14 billion and $1.17 billion, an increase of 13% to 16% compared to the prior fiscal year on an as-reported basis and an increase of 15% to 18% after adjusting fiscal '21 to remove the impact of the 53rd week. We believe the contributing factors to our 2022 net sales growth on a 52-week adjusted basis are as follows. 10% to 13% of that growth will come from organic growth which includes volume, historical pricing actions and local branch openings. Another 5% will come from the impact of recently completed M&A, including the Access Networks' full year impact; and Staub Electronics which as John mentioned we closed in January. On an as-reported basis, the lapping of the 53rd week in 2021 represents a 2% net sales growth headwind. We expect adjusted EBITDA to range between $114 million and $120 million, representing an increase of 3% to 8% compared to the prior fiscal year on an as-reported basis. Presenting '21 on a 52-week adjusted basis and normalizing for a full year of public company costs, our 2022 adjusted EBITDA guidance would represent a year-over-year increase of 8% to 14%. The implied adjusted EBITDA margin range of 10% to 10.3% represents a 70 basis point to 100 basis point decline from our 2021 adjusted EBITDA margin rate. The margin rate compression reflects both operating expense investments to drive long-term growth as well as potential contribution margin rate pressures driven by supply chain and inflation headwinds. Among others, the following factors were considered when developing our adjusted EBITDA guidance. First, given our conviction around growth in the near and long term, we plan to fund investments in research and development, software and go-to-market researches to continue to develop adjacent markets such as commercial, security and international. We believe these investments and any potential reinvestment from net sales outperformance in 2022 will position us well for long-term sustainable growth. As we look forward to 2023 and beyond, we expect our pace of investments to normalize. Second, we expect to incur the full year impact of public company costs and the build-out of our corporate infrastructure to support scalable growth as a public company. And third, given the dynamic and evolving situation regarding inflation and supply chain headwinds, we continue to see cost pressure in the excess of our historical pricing actions. Our philosophy has been to adjust pricing to maintain our long-term margin rates. To the extent we continue to observe sustained supply chain and inflationary pressures, we'll use pricing as a lever to mitigate those costs. As a reminder, we implemented a proprietary price increase in February of 2022 and any additional pricing actions we may take in the future will be reflected as upside to our current guidance. Overall, we remain highly confident in the financial health of our business as well as our ability to sustainably grow for the foreseeable future. So that completes my summary. I'd now like to turn the call back over to John for additional comments. John?
John Heyman: Thanks, Mike. Just a few closing thoughts before we hit Q&A. Number one, we're investing in our growth thesis. Integrators see far more demand than their existing capacity. New channels are emerging and growing and exciting new product launches and models are in front of us. Number two, our teams have been doing a great job managing through supply chain and logistics issues which we believe will continue to persist throughout 2022. Our number one priority has been to deliver for our integration partners and keep projects moving. Our number two priority has been to protect our partners and our company's financial performance using price, MSRP and other levers. These priorities will continue to guide us and in that order. We believe we will see moderation of the supply chain impacts in 2023. And finally, we're quite bullish around our long-term operating model. The scale and the platforms we are investing in will drive better solutions for the end customer, more capacity for the integrator and growth for Snap One in a way that increases operating margin over time. The supply chain obfuscates that in the short term but our leadership and our investments will assure it over the longer term. And with that, we'll open it up for Q&A.
Operator: [Operator Instructions] Our first question comes from Erik Woodring with Morgan Stanley. You may proceed with your question.
Erik Woodring: Super. Thank you very much. Congrats, guys, on the quarter and the guide. Maybe John, I'll throw in to you first. And then, Mike, I'll follow up with you. So John, maybe just help us understand, you guys talked about investing in the platform. Just maybe if we can dig into that a little bit. What are -- kind of a little more specifically, what are some of the priorities that you're investing as you think about 2022? And maybe I'd frame that from a context of you've talked about combining the loyalty programs, that was an initiative that you had, like that type of granularity just as we think about 2022. And then I have a follow-up for you, Mike.
John Heyman: Sure. Thanks. I would say, if you back up, we acquired Control4 a little over 2.5 years ago. We've worked on doing a lot of integration of the sales channels and the technology. I'll point to the integration of OvrC with our Control4 product line this past year which allowed us to also retire effectively our older cloud management solutions that Control4 had. And so now what I would say is we're investing in three separate areas. Number one, I would say the go-to-market. And there, it's all around integrator acquisition. It's security, it's commercial, it's international. And of course, local is important to all of that. So we're continuing to invest in our local platform. We're also combining the technology platforms, the go-to-market platforms, the commerce sites of those business. And then I think where you would see the biggest increase in investment in the business is actually on the kind of R&D side of the business. And now that we've integrated the different platforms, we're now moving on to what I'll call true innovation. So your -- you -- more importantly, the industry and homeowners and business owners will see a significant amount of new product launches across many of our categories. I would point to what we call the more connected categories, the smart categories more than anything. And so that's one area. The second area is the software platforms and what we're doing to position them for as-a-service offerings and even more integration, so the installs are easier for the integrator. And so that's the second area. That's the largest bucket is the R&D increase. And then the third area is our own corporate infrastructure. So bringing together these IT platforms, bringing together the ERP platforms, getting our local businesses and our traditional e-commerce business to run on the same platforms, those are the big areas we're making. I would also just cite overall from a people standpoint, we're investing in our people. I would say, as we look this year at the -- we feel like we've had an amazing past couple of years. We're investing in our talent in terms of development but we're also investing in them in terms of kind of benefits and wages. And that's something that's across the board.
Erik Woodring: That was really helpful, John. Thank you for that detail. I guess maybe, Mike, I'll turn it over to you. You've previously talked about kind of the 13% long-term growth algorithm ex M&A. On a normalized basis, 2022 is kind of like 12% to 15% organic growth. And so just curious if there's anything specific that you're seeing in 2022 that contributes to the slightly stronger growth outlook relative to how you think about maybe the long term? And that's it from me.
Michael Carlet: Yes. I think there's -- Sure. I think there's two sort of offsetting factors in our 2020 guidance that are slightly different than our longer-term algorithm. One is pricing probably has a more significant impact in 2022. As you know, we did a pricing change in August. We did another one in February that's probably higher than we would expect to be the normalized run rate. And that puts some upside to our long-term guidance, this -- our guidance this year versus long term. Offsetting that is we think about the organic growth rate of the business and the volume growth in the industry which I think we typically call is like 6% to 8% is how we think about smart home and automation growing. And that's both volume and price within that number. But I think right now we're hedging that back a little bit just with the supply chain constraints that are out there that we're all seeing. I think we're looking at organic growth being a little bit below that rate this year as we manage through the supply chain challenges. So if you take that sort of pricing upside and just the base volume growth that we expect to see in the business being impacted by supply chain, it results in those numbers that we talked about.
Erik Woodring: Okay, thank you.
Operator: Thank you. Our next question comes from Paul Chung with JPMorgan. You may proceed with your question.
Paul Chung: Hi, thanks for taking my questions. And congrats on exceeding $1 billion in annual revenues. So very nice execution this year. So as we kind of look to the next incremental $1 billion, can you talk about the dynamics between integrator count and spend per integrator? How quickly do you kind of see a pickup in new integrators as new locations open and also kind of the mix of products impact on the spend as well? What types of products are you seeing kind of relative strength?
John Heyman: Sure, this is John. I think from our standpoint, we've identified an integrator universe of roughly 70,000 integrators domestically. We do business today with over 16,000 of those integrators. And we continue to add thousands of integrators a year. As we've said before, by the way, it's our intent in the future to give counts on some of these, the convergence of our different operating systems between our local businesses, Control4 and legacy Snap. We're getting to the point now that we can start identifying a single customer as -- and ensure we're not double or triple counting a customer. So very comfortable with the 16,000 number and -- because we know we're adding thousands a year. As long as we continue to run our playbook around integrator acquisition and product fit, etcetera, we believe we'll continue to increase the size of that universe. Second, in terms of average spend and if you thought about average share in the market where we kind of have the higher shares, we are seeing integrator spend of $50,000 to $60,000 per integrator. So we generally would have a share of that integrator's wallet, we would estimate of 10% to 15%, depending on the size of the integrator. And in our newer markets, commercial and security, we have a lower share of their spend, call it, less than 5%. And so what I would say is, we are continuing to march towards adding thousands of integrators a year. And I will cite something kind of in the lower thousands of integrators every single year and then continuing to increase our spend per integrator across our universe. And I think when you kind of deconstruct that then in our financial models, that's why we're comfortable with kind of low- to mid-teens organic growth is by increasing both of those. So, I personally think it's going to tend more towards growth in the number of integrators, if I was a betting person. So call it, 60% of our growth comes through adding integrators, the other 40% spend per. And that hopefully matches up with the prior question which is where we're investing in the business around the go-to-market and around the product development.
Paul Chung: Great, that's very helpful. And then a follow-up on just the margin dynamics. I understand there's a margin uplift when you acquire kind of the third-party products and move them to proprietary. As we think about the Staub acquisition and potential cost synergies and scale benefits there, do you see a margin uplift also immediately? Or does that kind of take time to flow through? And then is the mix of M&A going to be expected to be kind of balanced between expanding your distribution and acquiring products?
Michael Carlet: So thanks, Paul. I think on Staub specifically, Staub was already an existing partner of ours and they were already selling our products. And so really what we've acquired with Staub is a footprint in Canada to continue to grow. We've had a long-term relationship with them. It expands our market entry into Canada. We've already had a pretty good presence in Canada from selling out of our U.S. locations. So Staub by itself, actually if you think about it, because we acquired a bunch of third-party product there, probably slightly negatively impacts our operating margin, just given, again, the portfolio there and they were already selling a bunch of our products. But long term, again, we still think that our mix of products will continue to be driven by our proprietary products. We're looking to have third-party products be curated and support that as we go forward. And over the long term, we still think that the operating model expansion is going to be there for us.
Paul Chung: Great, thanks.
Operator: Thank you. Our next question comes from Chris Snyder with UBS. You may proceed with your question.
Chris Snyder: Thank you. I wanted to kind of follow-up on the conversation around margins and specifically gross margin. And I understand that third-party outgrowth is a natural kind of gross margin headwind. But it also feels like there is some other kind of maybe price cost pressure going on with the inflation and supply chain costs. So I guess, kind of taking that backdrop, I was just hoping for some more color on how the company thinks about pricing and how hard to push on pricing? And I ask -- it seems like the company has very good pricing power, given the high percentage of proprietary products, the differentiated software platforms. It feels like integrators are doing kind of phenomenally well. So kind of how do you think about that price cost? And is the expectation that, that price cost will be pressured in '22 relative to '21?
John Heyman: In '22 relative to '21? I just want to make sure I got the tilt [ph] of that correct.
Chris Snyder: Yes. Yes. I guess like is the gross margin headwind all just the third-party outgrowth? Or is it also an assumption that pricing is not fully offsetting the cost pressure we're seeing?
John Heyman: Okay. I think, first of all, I would disaggregate for a second price versus cost. And I think what we have recognized over the past few years is that given the value our products provide, we should price them accordingly to the end customer to maximize integrator profitability and reflect the value of the products. And then we should price them in a manner to the integrator that's fair for them and drives profitability for them. And over time, I want to make sure the company as opposed to our legacy and I'm talking 10 years ago, moves towards pricing based on value versus pricing based on cost. And one of the big reasons for that is because of the very high level of software content that's in our products today, that wasn't in our products a decade ago. So I think we've got a pricing competency in the business around that. Second from that, in 2022 and really uniquely in 2022, we started to see cost increase. The first kind of drop on the supply chain was more around availability. The second became evident was from a cost standpoint. And that's from two perspectives. One is componentry. I don't think I have to spend much time talking about componentry in 2021 and what was happening from a cost standpoint. And then the other is logistics and there are many components around logistics. Most recently, what we would all be aware of is the price of oil and kind of the inflationary pressures. And so what we began to do is challenge ourselves to not just reflect our pricing from a value perspective but also to understand kind of what was happening on the cost equation in our business and our partners' business. And so we updated pricing in August both at an MSRP and at a price to the integrator level. And so we saw about five months of benefit from that. By the way, the day we announced pricing, we don't necessarily always see it because we give the market advance notion of the price increase, so there's some buy ahead. But let's say we got four to five months' worth of pricing in 2021. As we went through 2021, our mindset has been to make sure we have inventory for partners. The price increase we did in August was about 2x what our normal price increase is. As we started to see our costs continue to expand and we saw the need to accumulate product for our integrators and effectively, that becomes part of the cost of our infrastructure, we decided we needed to do an additional increase of MSRP and of price. And we announced that to the market in December and that went into effect on February 1. Obviously, there was buying ahead in January for that. But that price change has now been fully implemented across our system. We had expected in the November and December time frame that our supply chain issues would start to mitigate in the second half of this year. I would say the inflationary pressures in the economy, I would point mostly towards kind of the most recent events in Ukraine were things that have caused us more recent concern and those things have rippled through the supply chain. There have also been other events, China, COVID, plant shutdowns, etcetera. And so I would say we have gotten more conservative around our supply chain outlook for this year as it relates to both availability and cost. We have reflected that in our guidance and Mike has discussed that and you can see that in the fourth quarter results in terms of our margin that Mike spoke about. You can see it in kind of our 2022 guidance. Today, we sit here looking at price again and it's a lever and it's a lever that we will use judiciously. First, we have to make sure our partners and MSRP are in good shape. Then we will make sure that the issues we're seeing today, that we're communicating today are not short term because we just did a price increase on February 1. And so we'll look at another one and the teams are looking at that. It's very easy on specific products where the componentry costs have increased significantly, for instance, something that has a high copper content. And so we might look at those in isolation. And so, I think what we're trying to -- what we don't want to do here on a call with you guys is commit to a price increase that doesn't make sense for our market and our industry and then have to live by that price increase. That's not how we run the business. We're communicating to you guys, we see very strong demand out there, we see the costs from Q4 and earlier this year around things that we're all aware of in the general environment. And our message to you is that we will continue to look at price and use our pricing muscles and use our pricing power judiciously.
Chris Snyder: Appreciate all that color. It's extremely, extremely helpful. And I guess kind of my follow-up. So I understand the level of investment going on to the business in '22 to drive growth. It sounded like from some of the commentary that, that pace of investment would fall off in 2023. So is that -- so should we expect positive operating leverage returns to the business in 2023? And is there a right way to think about incremental margins for the business in more of a normal operating environment which has obviously been hard to come by in the last couple of years?
Michael Carlet: Yes. Chris, it's Mike. What -- the way I'll answer that is -- and I think we touched on this earlier on Erik's question. If you think about our sort of baseline long-term growth algorithm of low double digits, within that, then yes, you should expect us to see operating margin improvement. We are looking at the investments we've made, whether to bring our platforms together with those investments in our product portfolio, some other go-to-market investments we're making. And we would expect to see the scale of the business provide leverage in our business if we're talking about it's growing in low double digits. However, I think we aspire to grow at a higher rate than that. And to grow at a higher rate than that, that's going to require some other investments. And so to the extent that we see opportunities to grow faster and actually deliver higher growth, we're not talking about five years from now, like we see that opportunity, then we very likely would be making investments that would continue to keep the operating margin where it's at, maybe even pressure it slightly but that would all be on incremental dollars. So to the extent there's incremental growth above our baseline, there might be incremental investments. But at our baseline growth of low double digits, clearly looking for operating margin improvement of 40, 50, 60 basis points each year for the next few years is something that we would expect to deliver upon.
John Heyman: Yes. Where I see -- Chris, where I see the margin opportunity in the business is continuing -- first of all, I think once the supply chain outlook changes which it will, I think that we'll be able to get to some of the margin-enhancing activities that historically we've been able to execute. It's just today, we're focused more on availability than anything. Two, I think that there's G&A costs in the business that now that we've ramped up on the public company costs will start to significantly moderate. And then three, we are investing significant amounts in R&D right now. And if you got behind kind of the rationale for those in terms of growth, we don't think that the R&D -- that the sales and marketing may have to increase with growth. But the R&D, we should start to see some leverage out of. So that's where kind of how we think about the business right now.
Chris Snyder: Appreciate all the color. Thank you, guys.
Operator: Thank you. Our next question comes from Ketan Mamtora with BMO Capital Markets. You may proceed with your question.
Ketan Mamtora: Good afternoon and thanks for taking my questions and congrats on a strong finish to the year. I'm just curious, when we -- it sounds like sort of the demand and the backlog is pretty strong. I'm just curious, is this kind of from what you're seeing more broad-based? Or are you seeing sort of strength in residential versus kind of what's going on in commercial and security? Any perspective -- I recognize that you are not providing numbers at this point on individual end markets. But just a broad brush on sort of how the backlogs are looking within the categories?
John Heyman: Yes. The growth in the business is system-wide. I would say commercial is outpacing the company's growth rate. But we feel like the business is strong everywhere. And so I think that's a -- I think that the -- first, it's a matter of integrator capacity, number one. Like our integrators are busy. If they have a lull in their business, it's very easy for them to find work, whether it's an upgrade or remodel of their existing customers or going out and finding light commercial work. So that's number one. Number two, housing continues to stay strong for our integrators. And so we feel good about that, notwithstanding kind of some of the concern that people have around the housing market. We feel like that's going to be quite solid for us. And so we've seen it strong everywhere. If anything, I think it's probably more geographic where people are moving to and where business is better than it is from an industry perspective.
Ketan Mamtora: Got it. That's helpful. And then just turning to the branch opening strategy. As you look at 2022, is that sort of the strategy to keep opening more branches, five, eight and get to that sort of the target of 60 over the next few years?
Michael Carlet: Yes and that's certainly what we still see. I think right now, our guidance would say that we expect to open six to eight branches within the way we put it there. We'll always look at opportunities to accelerate that. There's constraints on our people and everything else to get it done. But if we could open a few more than that, that would be great. There'd be some upside probably later in the year. Wouldn't be too much upside this year but will provide some upside as we go forward and accelerate some growth. But in our baseline guidance, continuing to grow that footprint, six to eight is sort of the number in our guidance right now and maybe the opportunity to do a few more than that.
Ketan Mamtora: Got it, that’s very helpful. I’ll turn it over. Good luck for 2022 and beyond.
Michael Carlet: Thanks very much.
Operator: Our next question comes from Adam Tindle of Raymond James. You may proceed with your question.
Adam Tindle: Okay, thanks. Good afternoon. I just wanted to ask a question on software and subscription definitely. I appreciate the disclosures that you gave. I think if I back into it, there's about 100,000 homes with about $10 a month in ARPU. And just a two-parter, John. First on penetration, you said you have about 435,000 total homes. So how to penetrate that remaining 300-plus? And secondly, on ARPU the levers where you see that subscription number moving over time from that $10 or so a month and the levers to accomplish that?
John Heyman: All right. I -- this is an area I'm obviously very passionate about, given my background. I think that, first of all, it strikes me that this is an industry where no one's mandated software to the end customer, yet the end customer is very dependent on software to run their homes. So within that context, when there's been a product that's elective which is 4Sight was an elective product that Control4 sold. And I think as you go think about the ARPU, your calculations are generally very close in terms of the $10 per month. So that's number one. Number two, the ARPUs for Parasol which is a kind of an MSP, if you will, it allows us to enable the integrator to provide the service our discerning customer expects. The ARPU around that is closer to, depending on the service offering, $39 to $59 per month. And then there's a set of kind of products that we're working on in the background around some of the software investments that we think can be more valuable to the end customer. And I'll just speak about like what we're investing in and are -- I don't want to get too detailed on this call. But in our -- the capabilities of surveillance systems in the future are going to enable a higher-end, what I'll call, security offering than traditional security offerings. So we're really excited about those types of things and other things we're investing in the business. So, I think from our perspective, if we take it back, like in terms of -- as I think about increasing the penetration, the first place I look to is the new installs we do every year, though each and every one of those should have some software content. That's good for the end customer because it aligns them with the integrator and it aligns them with us. So we're working hard on that model. Second, we are seeing incredibly strong Net Promoter Scores with the thousands of customers that use the Parasol offering. And we think that's an important piece of it. The Parasol offering, depending on the end price, is an ARPU of 4x, 5x, 6x what 4Sight is alone. And then the -- we have other service offerings. So the way I look at this model, Adam, is there are companies out there providing services to the home to a much less discerning customer base than we are that are north of $50 per site per month. And as I think about, first of all, the new customers who buy our products in the future, we are building products that have a value to those customers that they will be willing to pay for on a per month basis. The integrators are already thirsty for products like that to sell into their customer base. And so that is where we have been working on 4Sight, our other software offerings, our other hardware offerings and Parasol to get the industry to that point. And it's probably -- I probably shouldn't say anything else around it. But from a visionary standpoint, from a visionary standpoint, it's very easy based on our existing growth trajectory for people to imagine one million homes and small businesses on our platforms at some point over the medium-term future. We already have a population that is spending somewhere between $120 to $700 or $800 a month on service and software. And now it's time for us as an industry to bake that model basically for the end customer and for the integrator. And that will align this smart living industry in a way it's never been aligned between the homeowner or small business owner, the integrator who serves them and us. And so that's what we're working to is that one million-plus installs with a very rich model that exists today in terms of hardware and installation services and enhanced by a recurring software and service model. That's the vision.
Adam Tindle: And I think that's a win for investors, too. Makes a ton of sense to me. I guess maybe just as a quick follow-up here, more near term. Obviously, congrats on a strong close to the year. We've got the benefit of almost being done in Q1 at this point. Could you maybe just speak to demand sitting here in late March? There's been a lot of macro events, obviously, over the past couple of months. How has demand changed as the quarter has progressed? And Mike, any comments on the shape of the year? I appreciate the full year guidance but shape of the year from a revenue and EBITDA perspective, perhaps relative to last year, first half, second half, however you'd put it in terms of shaping our models?
John Heyman: Mike, you talk to the second point, I'll talk to the first. Integrators are busy. We get it anecdotally. We get it through surveys. We're not seeing any concerns. And so it's something obviously that we watch, given all the news over the past three to four weeks. But we feel like we still got solid tailwinds. Again, I'll remind you about the integrator. They're great. When -- even when someone sees slowness in the business -- and statistically, when we survey the integrators, they're not seeing that. But when they do, there's plenty of other business to go after in their market because demand has been outstripping supply for the past few years in this industry. Mike?
Michael Carlet: Sure. So Adam, while we won't give quarterly guidance but just a couple of high little bullet points as you think about seasonality of the business. So first of all, the recent years are not overly instructive on this, given M&A, COVID, 53rd week, all that noise around it. So what we would say is, if you start at a baseline that every quarter is created equal, 25% revenue per quarter, probably take a few points out of Q1 and spread them pretty evenly through Q3 and Q4 on a growth perspective and Q1 will be definitely less but the rest will be pretty even. On an EBITDA perspective, contribution margin and adjusted EBITDA margins are typically highest in Q2 and Q3. Q4 gets impacted by some Black Friday TV sales, some other noise around seasonality of a couple of our product lines. Some of the outdoor living things have a higher performance in the summer. And then Q1 probably has the highest OpEx percentage as a percentage of net sales, just given again, the way things flow. So Q1 probably will have a little bit lower revenue and a little bit more pressure on the bottom line; Q2, Q3 and Q4 are much more equal as it comes to that, with Q2 and Q3 being a little bit more positive on the bottom line.
Adam Tindle: Very helpful. Thanks and congrats, again.
John Heyman: Thank you.
Operator: [Operator Instructions] Our next question comes from Ryan Merkel with William Blair. You may proceed with your question.
Ryan Merkel: Hey guys, two questions from me. First off, John, can you talk about how the business has performed during past periods of rising interest rates? Anything for us to be watching out for? And then secondly, what's baked in the guidance for the supply chain pressures? I assume there's both a revenue and a margin impact.
John Heyman: Yes. We are not seeing anything on the interest rate front. I would say again, we're at such a -- we're so -- this industry is so lowly penetrated relative to it’s potential and so I think, generally, there's been a lot of bullish information around housing. I saw a report today around forecast being lighter specifically around first home buyers. But I think all the statistics that we see that the country is under-housed. And so we're not seeing any pressures in terms of interest rates. I don't feel like we're seeing pressure from our integrators saying people have lower budgets now. We're not seeing any of that. And so it's -- I'll anecdotally relate to you just because I'm actually selling a house right now. The realtors will talk about how people may have reduced their price from $200,000 or $300,000 or $400,000 because their mortgage payment is going up but they're still buying a house. They still need to buy a house. And builders are still building. And so we, obviously, ask ourselves this question quite a bit, Ryan but we're not seeing any issues around it.
Michael Carlet: Ryan, just on your question about guidance, what's baked in. So we baked 2% to 3% of top line headwinds. As we mentioned earlier, we would see the organic growth rate in our long-term model probably a little bit higher than we're baking this year as we think about those supply chain headwinds. As of right now, we would say that we think that what we've done from a pricing action should basically, on a go-forward basis, cover the costs we've incurred. But we know it's a volatile environment. We'll continue to look at it. To the extent we continue to see cost pressure, as John said earlier, we think both ourselves and our integrated partners have pricing power. We would adjust our pricing, the integrators' MSRP to their customer to cover that, if needed. But that's not in the guidance today. We think the way we positioned guidance today is appropriate for what we've seen to date. But as you know and we all know, it's -- every day is the new story as we think about what's going on out there.
Ryan Merkel: Got it. Best of luck for 2022.
Michael Carlet: Thanks, Ryan.
Operator: Thank you. Our next question comes from Brian Ruttenbur with Imperial Capital. You may proceed with your question.
Brian Ruttenbur: Great, thank you. Just real quick to clarify. So the current guide has no additional price increases and half the growth is coming from already-in-place price increases. Is that a correct summary?
Michael Carlet: No additional price increases in the guidance. Today, we would say of the guidance, about 5% is already implemented price activity, whether that was last August activity or what we just did in February.
Brian Ruttenbur: Great. And then in terms of demand and interest rates and this was playing off the last question but interest rates have obviously gone up and expected to continue to go up, especially for 30-year fixed and all that. And what you're saying in summary is you're seeing nothing from the integrators or the end users pushback right now. Is that correct? The demand still remains at record levels?
John Heyman: That is correct.
Brian Ruttenbur: Perfect. I just want to get that number.
John Heyman: I want to remind everybody of a couple of things as long as you're asking the question. One is we're not the only company out there increasing price. This is something that's in the industry, I would say, virtually uniformly. In fact, even competition that's been reluctant to increase price, we've now seen increased price. So that's number one. And when I say increased price, significantly. And two is, I just need to remind everybody because of this interest rate question, I'd say, one, we serve, at the end of the day, a pretty discerning customer. Number two, our integrators do not have the capacity to serve the demand that's been coming at them. Their ability to pivot to business when they need to, like pivot to small businesses, etcetera, that are coming back to work now has shown itself to be exceptional in any cycle we've been in as a company or that Control4 was in. Our businesses grew in '07, '08 and '09. It grew in the earlier part of the second decade and has continued to grow through other types of cycles. And I attribute that to the flexibility and the ability to pivot of our integrators.
Brian Ruttenbur: Thank you.
Operator: Thank you. At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Heyman for his closing remarks.
John Heyman: All right. Thanks, everyone, again for joining us today. It's truly an exciting time to be at Snap One. I especially want to thank our dedicated employees for their ongoing contributions, our network of integrators who continue to do great work, creating exceptional experiences out there. And I'd like to finally thank our investors for their continued support. We'll talk to you in May. Thanks.
Operator: Thank you for joining us today for Snap One's fiscal fourth quarter and full year 2021 earnings conference call. You may now disconnect.